Operator: Good day, and thank you for standing by. Welcome to the Mips Year-end Report 2025 Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Max Strandwitz, CEO of Mips. Please go ahead.
Max Strandwitz: Thank you, operator. Good morning, everyone. My name is Max Strandwitz, and I am the CEO of Mips. With me today, I also have our CFO, Karin Rosenthal, and we will take you through the Mips presentation of the Q4 year-end report of 2025. So if we start with the key highlights, it was a good end of the year. Strong development with 18% organic growth in the fourth quarter. We did grow in all categories despite the challenging conditions. And our year-to-date organic growth ended at 21%. Of course, with year-to-date, we mean full year. The good momentum in Europe continued. We saw an organic growth of Europe of a little bit more than 30%, which is, of course, a fantastic number given that we grew 137% the year before. So despite a very strong comparator, we continue to see good performance in Europe. And if we look at the full year split of sales, Europe actually contributed to 43% of the total net sales of Mips, which is something that we have been very happy about and of course, part of our ambition to be less dependent on the U.S. market and having a better sales split between Europe and U.S. market. But also the U.S. sales developed well. We did grow close to 30% organically also on the U.S. market, which is a little bit surprising given the challenging consumer market that we see. We saw a little bit of a change in momentum when it comes to the U.S. market, and I will come back to that a little bit later in the presentation, but good performance also in the U.S. market. When it comes to the Asian market, not our biggest part of our sales, we saw a softer market with soft development, especially relating to the Chinese market, where we saw a very hesitant consumer. Of course, we did a very exciting acquisition in December through the ingredient brand Koroyd, great complementary portfolio to Mips and the brand with global potential, which is also something that we appreciate a lot. I will talk a bit more about that also later in the presentation. We had a good development of the underlying profitability. A lots of ins and out in the quarter. The decrease in EBIT that we saw is fully explained by the impact of legal cost, the ForEx headwind and transaction cost. And if we would adjust for the negative impact of the legal cost and the transaction cost related to the acquisition of Koroyd, we would actually be very close to a 40% EBIT margin, actually 39.8%. We have had a legal dispute that will continue. And we will continue to support our customers in the defense of the legal dispute, similar level to 2025 expected also in 2026. And just as a reminder, in 2025, we spent SEK 43 million in this legal dispute. The Board of Directors is proposing a dividend of SEK 2.50 per share, which is corresponding to 55% of net earnings, a little bit ahead of our financial ambition of having a dividend distribution of at least 50% of net earnings. And of course, also adding Koroyd to our business, we remain confident in our long-term strategy and the journey towards our financial targets. So if we start with the Mips Group's acquisition of Koroyd and a summary of what we actually did acquire. We see it much more as a merger rather than acquisition because, of course, it's 2 great companies coming together. But first of all, strategically, really important to look at the strategic fit. And actually, when it comes to the acquisition, we actually see that it strengthened 2 out of 3 already existing strategic pillars. The first one, of course, of our pillars is to grow our existing business of rotational protection solutions in helmets for Sports, Moto and the Safety category. That, of course, will remain unchanged because that's Mips key focus areas. But if we look at other areas like capture new opportunities within helmet safety, of course, Koroyd and impact technology is a great addition to that. And also the third one when it comes to opening up new channels and markets, of course, having the opportunity to expand into body protection, also having customers in tactical and so on, of course, opens great opportunities for further growth. If we look at the culture fit, which is, of course, extremely important when you look at acquisitions, Koroyd has many similarities to Mips. First of all, it is a very vision and purpose-driven company to make active life safer. It's market leader within its niche. Ingredient brand, which is, of course, trusted by consumers and leading product brands. It's very much a science-led and technology-driven company. They have world-class testing and simulation capability, just like Mips. Scalable asset-light supply chain, high EBIT margin despite significant R&D spend. Important to note that Koroyd will continue to operate as an own brand. The current strong leadership and operational team will continue to lead the Koroyd business. But of course, both brand teams see many synergies when it comes to product development and of course, product portfolio expansion. If we look a little bit more on the details of the transaction, the purchase price amounts to EUR 40 million on a cash and debt-free basis, corresponding to a multiple of 8x adjusted 2025 EBITDA. In addition, the sellers have the possibility for an additional earn-out up to EUR 25 million, corresponding to a multiple in total of 13x if we compare against the same adjusted EBITDA of 2025. The transaction was financed through a combination of existing cash, and we also have arranged with a credit facility. And of course, the acquisition is expected to contribute positively to Mips earnings per share, EBIT sales growth, both on a short and a long-term basis. And I think it's also important to note that Mips and Koroyd will be consolidated under the same group first time in the Q1 reporting. If we look at another very important area for us, it's, of course, what we do in sustainability, and we are really proud about the work that we have done there. We have had great development also in 2025. First of all, Mips was ranked #1 in Carnegie's sustainability rankings within consumer goods, which is something that we are extremely happy about. AAA rated at MSCI and also top rated at small and mid-cap enterprises at CDP. So really starting to get also great recognition externally for our sustainability work. Of course, when it comes to sustainability, it's not the awards that really makes a difference. It's what you actually do. And of course, we have 3 key targets, which we delivered against. And the first one is, of course, to continue to reduce our emissions, and we did that during the year. And including 2025, we have now delivered 49% of our 2030 ambition. And that, of course, is in line with our long-term ambition. We have also been quite successful when it comes to increase the usage of recycled materials in our products. And today, and that is, of course, in 2025, the usage amounted to 34% of our total usage. And Mips has also, of course, a well-developed factory audit program. And we have increased our average score from social audits to above 90%, which is actually ahead of our 2030 ambition. So really happy with the progress that we did in sustainability. In Sports, we see that the progress continues. We are happy with the development that we see there. Good quarter with 17% organic net sales growth in Sports. We did see strong growth in the European market. And like I said, that's on the back of a very strong comparator last year where we actually grew 137% in total. So we now had 6 really, really strong quarters in Europe and of course, start to see that the impact, of course, also showing up in the total sales of Mips as a company. We did see also good growth when it comes to the challenging U.S. market. We saw in terms of market data, a little bit of a trend shift when it comes to Mips addressable markets. And if you look at bike, for instance, we saw actually for the first time in a long time that the addressable market grew 1% when it comes to volume in bike, and it actually grew 5% when it comes to price. So of course, a lot of the customers have initiated and taking price increases to compensate for tariffs, but good to see that also in terms of volume growth in bike helmets, we saw that there was a positive progress. Then when it comes to snow, same ratio, 2% volume growth. If we look at the total market when it comes to U.S. dollar and price, it actually grew with 6%. So of course, still soft market, but at least it has started to go into positive territory. We also see that our customers coming from quite a low inventory level, now have started to refill their inventory. Every one of them, as you have seen in previous quarter, has been a little bit careful in terms of filling up their inventory because of the uncertain tariff situation. And of course, it's also good to see that bike continues to develop well overall. We had the ninth quarter in a row with growth in bike, which is something that we're also happy about. And of course, we continue to see good volume growth also in snow, both in the quarter and year-to-date. We did launch our collaboration with Mikaela Shiffrin, of course, the greatest Alpine skier of all time. So something that we think is a great ambassador for the Mips brand that also can help us to increase the awareness of Mips globally and of course, committing to the overall vision of Mips of driving the world to safer helmets. And I think it's also important to note that the shift that we have really been doing in snow, where you only take a difference of the last Olympic versus the current Olympics. When we look at our athletes this time, we actually see that more -- a majority of the people that are wearing a ski helmets is actually a helmet equipped with Mips. So something that, of course, we are very happy to see. And the long-term positive outlook in the Sports category remains. If we look at the development in Moto, we saw good development also there. 32% organic net sales in Moto in the quarter, year-to-date net sales now amounting to 22% organic growth. And we saw good development also in both off-road and on-road category. And good to see that the volumes are coming back in Moto after a challenging period and the impact of the U.S. tariffs. We continue to roll out a lot of new innovations in the Moto category and, of course, are quite excited about 2026. And no change to the long-term outlook, good opportunity to continue to grow in the category. In Safety, we saw organic net sales growth of 41% in the quarter. If we look at the year-to-date performance, it's 42%. We, of course, have seen during the year and also the quarter that performance is impacted by the implementation of tariff and related cost increases where we have seen some delay in ordering. If we look at the underlying in-market performance, we actually see that we have great sellout with new brand wins and also new products. And of course, during the quarter, it was also the world's largest fair when it comes to occupational health and safety. In Germany, it's only every second year. And there, of course, again, the interest for Mips in the industry was confirmed. The long-term ambition remains unchanged. It's also good to see that the acquisition of Koroyd can also accelerate our growth in this category and make our offering even more relevant in the category as such. So if we look at the category performance, like I said, in Sports, Q4, 17% organic growth, 20% full year. In Moto, 32% in the quarter and 22% full year; and Safety, 41% and 42% full year. With that, I hand over the presentation to Karin.
Karin Rosenthal: Good morning. I'm Karin Rosenthal, CFO of Mips, and I will take you through the financial part of the presentation. We saw a good development in the fourth quarter with an increase in net sales of 2% and adjusting for FX due to a stronger SEK versus U.S. dollar, net sales increased 18% organically. Gross profit increased with 2% and a good gross margin of 72.9%, same as last year. We saw an underlying improvement in profitability. EBIT was down 24% to SEK 47 million versus SEK 62 million last year, which is fully explained by legal cost of SEK 7 million, transaction costs due to the acquisition of Koroyd of SEK 5 million and ForEx. EBIT margin decreased by 11 percentage points to 31.8% versus 42.9%. Excluding legal costs and transaction costs, EBIT margin was 39.8% in the quarter. The higher spend in OpEx is fully explained by the legal costs, the acquisition costs and the ForEx. So we have also continued to invest in our strategic priorities. We had a good operating cash flow in the quarter with SEK 52 million. And if we look at the financial KPIs, organic growth of 18%, 32% EBIT margin and operating cash flow of SEK 52 million. If we turn to next page and look at the development for the full year. Net sales increased with 10% and adjusting for the FX due to a stronger SEK versus U.S. dollar, net sales increased 21% organically. Gross profit increased with 12%, and we saw a gross margin of 73.4% versus 72.5% last year. And the increase was mainly explained by the increase in sales and the sales mix. We have an underlying improvement in profitability. EBIT was down 11% to SEK 156 million versus SEK 174 million, which is mainly explained by the legal costs of SEK 43 million and the FX. EBIT margin decreased 6.9 percentage points to 29.2% versus 36.1%. And excluding legal costs and transaction costs, EBIT margin was 38.2% for the full year. So the higher spend in OpEx is fully explained by legal costs and the ForEx, and we have continued to invest in R&D and marketing during the year. We had a strong operating cash flow of SEK 148 million versus SEK 142 million last year. So the financial KPIs, 21% organic growth, 29% EBIT margin and operating cash flow of SEK 148 million. If we look at the balance sheet and cash flow, we have cash and cash equivalents of SEK 214 million versus SEK 382 million last year. During December 2025, Mips obtained a revolving credit facility of SEK 300 million to finance the acquisition of Koroyd. The net debt versus adjusted EBITDA amounted to 0.5x. The operating cash flow in the quarter was SEK 52 million, and the Board proposes a dividend of SEK 2.5 per share, corresponding to 55% of net earnings. And then over to you, Max.
Max Strandwitz: Yes. So if we then summarize the quarter and the full year, good year -- good development in the quarter with 18% net sales growth. We did grow in all our 3 categories despite challenging conditions. Good performance also year-to-date, of course, with 21% organic growth. And of course, as we are growing significantly faster than the market, we are gaining market share, of course, both in U.S. and the important European market. We do expect the positive development to continue with, of course, less hampering effects from the tariffs, which we saw in 2025. Good to see also, I wouldn't say it's a turnaround, but a little bit positive signs of the U.S. consumer in Q4 when it comes to helmet. And of course, good to see also that the U.S. brands are also refilling their inventory again. Of course, the exciting complementary acquisition of the ingredient brand, Koroyd, will, of course, strengthen our position in helmet safety further and offer possibilities for product extensions in adjacent categories, which is, of course, something that we are quite excited about. Good underlying improvement in profitability. The decrease that we saw is fully explained by legal cost, ForEx headwind and transaction costs. And we remain positive on our long-term outlook and of course, the delivery of our financial targets. And with that, we open up for questions.
Operator: [Operator Instructions] The first question comes from the line of Emanuel Jansson of Danske Bank.
Emanuel Jansson: Hope you can hear me. And a couple of questions from my side. And on the organic growth seen here in the quarter, can you provide some color on the sequential development during the quarter, maybe especially regarding the U.S. market. And so did you see any acceleration or de-acceleration over month-over-month?
Max Strandwitz: Yes. I think, I mean, overall, it was relatively equally spread. I would say that in the end of the quarter, we saw a little bit of an uptick of the U.S. market, of course, potentially also from a little bit stronger sales, at least than we anticipated from the U.S. market and, of course, refilling the stock. So it ended a little bit better than it started.
Emanuel Jansson: And given that the Chinese New Year falls later this year versus what it did in 2025, can we assume that some of the normal Q4 sales has shifted into the first quarter of 2026 regarding especially bike sales or bike helmet sales?
Max Strandwitz: Yes. Given that, of course, during my 10 years at Mips, I don't think that the Chinese New Year has been so late, which means that they have at least 1.5 months more to produce and, of course, ship. So yes, we see a good momentum also into Q1 when it comes to order momentum and so on. And part of that is, of course, attributed to a later Chinese New Year. When you normally see an earlier Chinese New Year, of course, then to be able to make the season, of course, you produce maybe a little bit more in Q4 because, of course, then the Chinese New Year comes and you don't have time to hit the market before the season starts.
Emanuel Jansson: That's very clear. And jumping back to the U.S. market, where I think the growth was quite impressive. And can you maybe share us some insights on which categories or customers that drove this growth most strongly in this quarter?
Max Strandwitz: Yes. I think, I mean, first of all, if we look at the total market, which means, of course, not only the addressable market for Mips, it was actually shrinking with 1%. So it was slightly down and the addressable market was up. And when we look at the addressable market for Mips, we look at helmets above USD 30. There is a couple of brands that is doing really well on the market at the moment. Giro, which is one of our bigger customers is doing exceptionally well, and they're gaining a lot of shares. Also, we see Smith Optics also doing well, especially in the mountain bike segment, and we also see that the Fox brand is doing well. So a couple of brands that is really outperforming at the moment. And of course, all of those are heavy Mips customer, and that helps a lot.
Emanuel Jansson: And should that also be attributable to more premium type of helmets that are doing better versus the -- towards the end consumer?
Max Strandwitz: Yes. I think when we segment the market, and of course, there is different ways of slicing the market. I would say top premium market, we have never seen actually especially weak market. It seems like that consumer is immune to whatever setbacks happen. So they seem to buy products anyway. And then we talk really premium product. What was a little bit of a shift in this quarter is that we also see in mid-price levels that the consumer is coming back, which is a bit of a change. And of course, with that consumer also comes quite a lot of volume. And of course, that has a direct contribution to the volume development.
Emanuel Jansson: Perfect. That's really interesting. And heading then back to -- heading to Europe, I mean, 50% organic sales growth during 2025 and you increased your market share and increased market penetration, what should we think is a sustainable growth rate in 2026, you think, given that you have grown into size, but you still have plenty more to do in that region?
Max Strandwitz: Yes. I think, I mean, we do have fantastic momentum in Europe, would be fantastic even if Europe can pass ahead of the U.S. market would be really a good sign of the really establishment that we have done in the European market. So I do expect continued good growth in Europe. There is a couple of regions where we have started, of course, in a fantastic way. Germany has been very favorable for us. We see good development there. Then, of course, we also see in France that the market development is really, really good for us. Switzerland, of course, not a lot of market data, but really high penetration. Nordic is a good region. What has been the key change also is that we see that the south of Europe is starting to also appreciating, first of all, helmet use and of course, also helmets with rotational technologies like Mips. I think what also was a bit fantastic for 2025 is, of course, that in Italy, they also started to mandate helmets when you're skiing and so on. And of course, that, in general, of course, start to increase the awareness on helmet safety in general, but also, of course, these type of mandates from governments also help to make people more safety conscious. So there were a couple of different things helping, and we see that trend continuing. And also what has been a big change for us in Europe is that we don't only sell well in premium helmets, but we see also that we can reach down and, of course, target consumers also in lower price points. And again, with lower price points comes also higher volumes.
Emanuel Jansson: Perfect. And last 2 questions here. On the Koroyd acquisition, can you share anything about how the business developed during Q4?
Max Strandwitz: Yes. I mean we do not comment too much about it because, of course, it was not owned by Mips as such. And of course, those numbers has not been audited by us as was not part of the due diligence and so on. They continue to see good momentum. They have developed well when it comes to safety and of course, also sports, and that was the key growth driver. So no change to the momentum than they have seen prior quarters. And of course, we expect that to continue also into 2026. And then, of course, we do see some customer synergies across the board, both ways, where, of course, we have been talking to a lot of customers, a lot of brands are excited of combining both Mips and Koroyd into helmets, which is something that, of course, is part of the strategic rationale of the acquisition. For us, Koroyd will always be a premium offering. And of course, we will work with a select amount of brands, but at least the start of the discussion has been very positive. So I think we can also get some sales synergies and of course, really excited to show what we can do both in 2026. But of course, as helmet project sometimes takes a little bit time, of course, also in 2027.
Emanuel Jansson: Perfect. And final question here. And correct me if I'm wrong, but I just think that the previous communication regarding legal costs indicated that it would gradually decrease during 2026. But I mean, given now the rhetoric now in Q4, it seems to be more or less in line with 2025. Has anything changed? Or what should we expect here going forward in the nearest quarter when it comes to legal costs?
Max Strandwitz: No, you're correct when it comes to the previous communication, we did expect slowdown of cost, which you partly saw already in Q4. We are, of course, still preparing for the case. We are doing a lot of investigations and of course, preparing us to make sure that we are as prepared as possible. It's always difficult when it comes to legal cases. Sometimes they can end very quickly. And of course, that's normally the best resolution. But since we do not know exactly how long it will go, we decided to take a little bit more cautious communication on this. So I wouldn't say that nothing have materially changed. It's more us being a little bit more cautious on the communication. The only thing we know is what we spend in 2025. And then, of course, it's probably the best to assume a similar kind of momentum in '26. I hope I'm wrong, but I think the cautious view is probably better at this moment.
Operator: The next question comes from the line of Carl Deijenberg of DNB Carnegie.
Carl Deijenberg: So a couple of questions from my side. First of all, if I could ask on the quarterly seasonality in the acquired entity, how does that compare relative, let's say, legacy Mips when we look at the quarterly distribution going into '26? Is that a material difference on net sales and earnings contribution on a quarterly level? Or how should we think about that?
Max Strandwitz: Yes. Just to make sure I understand. So it was in terms of the quarterly phasing when it comes to Koroyd.
Carl Deijenberg: Right. Exactly.
Max Strandwitz: Sorry. So yes, you do see a similar pattern to Mips, where you have the smallest quarter when it comes to Q1. Of course, that's normally the case all the time because, of course, you have Chinese New Year, factories close and so on. So it has a similar phasing pattern than Mips when it comes to Q1. When it comes to the rest of the quarter, which means Q2 to Q4, given that they are a little bit more exposed to safety, they have a more, I would say, flat phased, maybe that's not the right word, but they have a more equally spread sales across the rest of the 3 quarters.
Carl Deijenberg: Okay. Perfect. And then I also wanted to ask on a similar topic. I mean when you look at their '25 development, did they have any quarters that were exceptional in any way when we look at the sort of quarterly comparisons also going into '26. Did they, for example, see a similar development as you did in Q2 on Liberation Day and so forth or anything to keep in mind there when we model the quarters?
Max Strandwitz: Yes. I mean everyone in the industry, of course, had quite a hiccup when it comes to liberation. They -- at least the ones that have U.S. exposure. And of course, they have a big U.S. exposure and so on, even bigger than we had. So of course, they saw an impact of that. So I wouldn't say it's materially different. It's difficult for us, of course, to comment too much of the quarters because, of course, -- this is a relatively small company and, of course, focused mainly on full year delivery and so on. We have a quarterly split, but without having audited quarter-by-quarter, it's, of course, difficult to give too many comments. But it seems like quite a normal seasonality from a business exposed to industrial safety and snow as such.
Carl Deijenberg: Okay. Good. Then I also wanted to just follow up on the sort of guidance on the legal costs going into '26. And then, yes, for the full year, you were right about SEK 40 million and roughly SEK 7 million here in Q4. And I'm also just wondering a little bit on the phasing here because annualizing that guidance, that's obviously quite a step-up relative to the exit rate of SEK 7 million here in Q4. So is the run rate now going forward, is that going to be around SEK 10 million per quarter? Is it going to be come up already here in Q1? Or could you say?
Max Strandwitz: No, I think SEK 10 million is probably a fair assumption. And of course, given that these costs tend to fluctuate, I think it's much better to have like an even phasing of SEK 10 million per quarter.
Carl Deijenberg: Okay. Great. Then finally, also, I just wanted to ask geographical development for you or at least what you disclosed. Just if you could share a little bit more details on the development in China, particularly given it's obviously a quite big contraction here year-on-year and also sequentially relative to Q3 despite the seasonality. So any further granularity to add there?
Max Strandwitz: Yes. I think, I mean, as any company exposed to the Chinese market, of course, especially when it comes to consumer demand, you see a very hesitant Chinese consumer. It's not a huge part of our business. It's actually quite a small part of our business. We see that the Chinese consumer is much more hesitant. You have also seen at some of the big retailers shutting down a lot of shops because, of course, the Chinese consumer, a lot of them has a lot of money invested into property. And that, of course, has been everyone's pension retirement plan and so on. Now there is a big uncertainty what happens on the property market. The Chinese consumer appreciate cash and, of course, have started to save a lot of cash, and that means that they are not spending. You see that across the board when it comes to all consumer brands. Some of the partners we talk to, they say that the market is down 70% to 80%. I think that's a little bit rough, but at least we see a very soft Chinese market at the moment. There has been some initiatives by the Chinese government, but they don't seem to have that effect yet. But of course, we know that China normally can change a lot of things. And of course, we see quite a lot of excitement when it comes to winter sports. We also start to see that Viking is a big category. So I think the Chinese consumer will come back. But for me, it's very difficult to speculate exactly when. So I will continue to have quite a negative view at least on the Chinese consumer for 2026.
Operator: There are no further questions via the phone. I will now hand over for questions via the webcast.
Max Strandwitz: Yes. So the first question was about legal costs, which we have explained. Then the second question is, what is the medium term to expand in Moto industrial segment? And what is the impact of tariffs that you see in U.S. in 2026? And then the third, based on the same question, do you see demand supply pricing has normalized. So when it comes to Moto, like I said, we started to see an uptick in volume already after the implementation of tariffs. I think it's great to see that the off-road category is really coming back also in terms of volume. And we start to see more customers also on the on-road segment, which is something that has been lagging behind. We do see a lot of attention to the new standards that is coming into play and making it a lot tougher for helmet brands to pass the new standards without the rotational technology. And of course, that's what we do. And that, of course, is supporting the plan. And of course, this is not something that has happened overnight. But when it comes to development in motorcycle helmets, development time can easily be 3 years. So a lot of these projects has already been done. And of course, that's what we are rolling out, and that will generate the growth that we have been seeing. When it comes to industrial safety, I think most companies will probably 41% in the quarter organic growth, 42% full year is a great number. I think we should be able to do more. Of course, we were a bit surprised by the tariff implementation and of course, the pricing effect. And it's not so much about the helmet, but it's normally quite big companies. And of course, helmets is a small portion of what they actually sell. And sometimes, of course, they need to price up their whole segment when it comes to tariffs and so on. And then, of course, the attention to helmet is pushed back. We have a couple of really big volume projects with so-called round or brim helmets, full brim helmets for the U.S. market, which is very much what is in style. They will be launched during -- or have already been launched, but will start to be produced in Q1 and onwards. And that, of course, will generate a lot more volume. Then, of course, adding Koroyd business, also industrial safety, we were a lot more relevant. And of course, we can do even more when it comes to helmet. So I think in industrial safety, when it comes to our customer acquisition plan, I think we have all the customers that we need in order to reach the plans that we have set. For us, it's really making sure that we support the sell-through of the Mips equipped product and making sure that we get bigger penetration in their total portfolio. So quite excited about what happens in safety. Like I said, 42% is a good organic growth. But of course, I'm not always known as a patient man and of course, want to have more, and that's what we are gearing up for in 2026. And then when it comes to our recruitment plan for 2026, of course, Mips is a company that is growing. We also plan to grow the Koroyd business. And of course, the key focus that we have at the moment is to add more people in R&D. We have always had a ratio of Mips and a ratio I like because it's very simple, one engineer, one person in the rest of the company, and that's really a ratio that I think is effective. when you are a company which is very innovation focused and so on. Koroyd is 1 to 3 at the moment. So I really hope that we can get that up to the same ratio as Mips and continue to do a lot of innovations. And like I also explained in the report, we are doing a lot when it comes to creating a lot more innovation. We're also stepping up in terms of the amount of innovation. So we see a lot of new great Mips products coming out. Koroyd has a fantastic portfolio, especially when it comes to adjacent areas like body protection, gloves and so on. So really happy to share what we are going to do there. So key recruitments will be engineers. And then, of course, as any company that scales up, even though we both have a fantastic scalable business model, we need to add also resources everywhere else, but it, of course, will be in a much more scalable way. We are an asset-light model and so on. And of course, the amount of headcount will not increase in line with the growth that we expect to see in 2025. And then it's -- can you provide any update on project volumes versus the prior period, given that the revenues came down a little bit during the year. So we actually saw in Q2 and it started to stabilize in Q3 that a lot of our brands, they focus very much their engineering resources around relocations. So relocations outside China. And then, of course, we start to see that the volume is coming back again. And already in Q3, we saw on par with previous year and so on. And at the moment, we have great project momentum, and we can actually not do all the projects that we have in the pipeline. And of course, that's why we're also recruiting more engineers. And then, of course, it's a question on you can talk about the developments of new safety models or customers over the period, given the significant trade shows like World of Concrete that took place over the quarter. And of course, World of Concrete was in January. There, of course, we supported a lot of our brands. And the key focus there was, of course, to really drive the rollout of the full brim helmet. Full brim helmets is a big thing in the U.S. That's where you have the main part of the volume. Mips was first implemented in more like climbing style helmets. And now we see that we also go into full brim helmets. That's where you also see a much bigger part of the volume. And that's also where you see a big part of Koroyd's business is in full brim helmets. That's where they see most part of the volume. So I think that's basically all the questions that we have. Of course, if there is any follow-ups or you need to find out more, you know where to find us. If not, then speak again next quarter. Thank you for listening in.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.